Operator: Good morning. I would like to welcome everyone to the Plaza Retail REIT Second Quarter 2025 Earnings Conference Call. [Operator Instructions] I would like to advise everyone that this conference is being recorded. I will now turn the conference over to Kim Strange, Plaza's General Counsel and Secretary. Please go ahead, Ms. Strange.
Kimberly A. Strange:
General Counsel, Secretary & Chief People Person: Thank you, operator. Good morning, everyone, and thank you for joining us on our Q2 2025 results conference call. Before we begin, we are obliged to advise you that in talking about our financial and operating performance and in responding to questions today, we may make forward-looking statements, including statements concerning Plaza's objectives and strategies to achieve them as well as statements with respect to our plans, estimates and intentions or concerning anticipated future events, results, circumstances or performance that are not historical facts. These statements are based on our current expectations and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. Additional information on the risks that could impact our actual results and the expectations and assumptions we applied in making these forward-looking statements can be found in Plaza's most recent annual information form for the year ended December 31, of 2024, and management's discussion and analysis for the second quarter ended June 30, 2025, which are available on our website at www.plaza.ca and on SEDAR+ at www.sedarplus.ca. We will also refer to non-GAAP financial measures widely used in the Canadian real estate industry, including FFO, EBITDA, NOI and same-asset NOI. Plaza believes these financial measures provide useful information to both management and investors in measuring the financial performance and financial condition of the trust. These financial measures do not have any standardized definitions prescribed by IFRS and may not be comparable to similar titled measures reported by other real estate investment trusts or entities. They should be considered as supplemental in nature and not as a substitute for related financial information prepared in accordance with IFRS. For definitions of these financial measures and where to find reconciliations thereof, please refer to Part 7 of our MD&A for the second quarter ended June 30, 2025, under the heading Explanation of Non-GAAP Financial Measures. With that, I will turn the call over to Jason Parravano, Plaza's President and CEO. Jason?
Jason Parravano: Thank you, Kim. Good morning, everyone. We appreciate you joining us today as we review our financial performance and key achievements for the second quarter of 2025. As we reach the midway point of the year, I'm happy to report on the progress we've made so far. Our team is hard at work at executing our strategy to optimize, intensify and consolidate our portfolio. We've been able to make meaningful progress so far this year in all 3 categories. We stayed on track with same-property performance with same-property NOI increasing 1.5% year-over-year, driven by solid leasing activity and disciplined expense management. Leasing fundamentals remain robust with blended leasing spreads of 14.8% over the renewal term. Notably, our leasing spreads on negotiated renewals over the renewal term were just shy of 20%. This underscores our ability to drive value from the existing portfolio and demonstrates the delta between our in-place rents and market rents. Our committed occupancy rate also hit an all-time high of 98%. Excluding enclosed malls, our occupancy rate climbed even higher and is near perfect at 99%. These metrics continue to reflect all-time high performance levels, reinforcing sustained tenant demand and strategic positioning of our portfolio in markets characterized by limited retail supply. As renewals take effect during the year, it will continue to positively affect our same-property NOI, along with the impact of our various intensification and optimization projects currently underway across the portfolio. We're currently in the preconstruction or construction phase of approximately 300,000 square feet of intensifications, developments and strategic optimization projects that we launched earlier this year. While many of the costs associated with our optimization projects are captured in leasing costs and have a short-term negative impact on AFFO, the resulting incremental NOI validates the investments. These projects are strategically designed to enhance the long-term value and operational efficiency across the portfolio. Of the $3.7 million reported for leasing costs impacting AFFO year-to-date, approximately $1.3 million of that is related to projects, which will generate $650,000 of incremental NOI for Plaza. There remains $2.1 million to spend on those leasing costs this year to complete said projects. This represents an unlevered return of approximately 17% on these optimization projects alone. Excluding these impacts, leasing costs would have been lower than the prior year and year-to-date AFFO would have been 4.8% higher on a per unit basis. Included as part of our optimization projects are 2 No Frills site conversions in Atlantic Canada. A noteworthy project included therein is the conversion of a previously vacant space at the Village Shopping Center in St John's, Newfoundland. We're turning this enclosed mall into a grocery-anchored destination, which we believe will enhance leasing momentum and increase visibility for the site. We're also in the process of converting an open-air strip to a grocery-anchored strip in Charlottetown, PEI with the addition of a small format No Frills store. We're also making significant headway on our Welland development, which is now over 55% leased. Leasing momentum continues to build as construction progresses, and we're excited to bring a great tenant like Longos and Dollarama to the anchor of the site. Additionally, we have 30,000 square feet of smaller intensification projects underway or about to commence, which will generate another incremental $1 million of NOI upon completion. Our intensification and development projects are progressing well and are expected to deliver very attractive returns. At the end of the quarter, we successfully increased our ownership in 3 already owned and managed Shoppers Drug Mart properties in Ontario from 25% to 100%. The IFRS value of these properties is approximately $23 million at 100% ownership. As part of our 2025 capital recycling program, we have sold 9 properties at prices in excess of our IFRS values by approximately 5%. In addition, we have had a handful of properties currently set to close in the coming months. We're encouraged by strong purchaser demand and remain optimistic about the execution of this program. Our capital recycling initiative is in line with our ongoing efforts to increase the average size of our properties, reduce the average age of assets and enhance the overall quality of the portfolio. It also supports capital required to execute our 3-pillar strategy. As a result of the significant value creation on our optimization projects, our equity requirements are far less than expected, which has allowed us to put proceeds to use in paying down debt as well as consolidate our ownership position in certain properties. As Plaza's focus has always been retail, we know it very well. We remain focused on being a best-in-class owner and operator of retail properties. Again, we are the only REIT on the TSX, offering investors access to pure-play essential needs, value and convenience retail. I will now turn the call over to Jim Drake, our CFO.
Jim Drake: Thank you, Jason. Good morning, everyone. Further to Jason's comments, we had a busy and successful quarter. On operating results, total NOI for the quarter was up 3.8%, a result of acquisitions, development completions, rent escalations and strong lease renewal spreads. Same-asset NOI increased 1.5%, which would have been stronger if not for bad debt recognized for 2 tenant closures during the quarter. FFO per unit was up 5.3% for the quarter on NOI growth and strategic capital allocation. AFFO per unit was impacted by our optimization program as the required leasing costs have a temporary impact on AFFO, but improve the quality of our assets and will result in increased revenues in the future. On the balance sheet, our debt-to-assets ratio was down 40 bps versus Q2 last year at 50.9%, excluding land leases. Net debt to EBITDA, excluding land leases, was 8.5x. We maintained a balanced debt maturity ladder with $17 million of fixed rate mortgages rolling for the remainder of the year at a weighted average rate of 3.7% and overall loan-to-value of 52%. We continue to see strong interest in our mortgage offerings with competitive spreads of 180 to 200 bps over bonds or current all-in rates in the high 4s to low to mid-5s. Our liquidity at quarter end was $62 million, including cash, operating line and debt facilities. This will allow us to take advantage of upcoming opportunities, including the programs Jason mentioned. And finally, for the fair value of our investment properties, we took a $1.3 million write-up during the quarter due to our optimization program and the acquisition of the remaining interest in the 3 Ontario assets. Our weighted average cap rate is now 6.83%. Those are the key points for the quarter. We will now open the lines for any questions. Operator?
Operator: [Operator Instructions] At this time, we did not receive any questions. I would like to turn the call over to Jason Parravano. There are no further questions at this time. Please go ahead, sir.
Jason Parravano: Well, thank you all for joining us today and for your continued support and trust. We remain committed to creating long-term value for our unitholders, our tenants and the communities that they serve. We appreciate your time and look forward to the journey ahead. Enjoy the rest of your summers and talk soon. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. Please disconnect your lines.